Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Research Solutions' Financial and Operating results, for its Fiscal Third Quarter ended March 31, 2020. Earlier today, the company issued a press release, discussing these results and a copy of the release is available for viewing and can be downloaded from the Investor Relations section of the company's Web site. Joining us today, are Research Solutions' President and CEO, Peter Derycz and the company's CFO, Alan Urban. Following their remarks, we will open the call for your questions. Then, before we conclude today's call, I will provide the necessary cautions regarding any forward-looking statements made by management. I will also provide information, regarding the company's use of non-GAAP financial information. Finally, I would like to remind everyone that this call will be recorded and made available for replay via a link in the Investors section of the company's Web site. I'd now like to turn the call over to Peter Derycz, Research Solutions' President and CEO. Please go ahead.
Peter Derycz: Thank you, operator, and good afternoon everyone. Our fiscal third quarter marked a significant step forward for our company. We experienced an acceleration in our sales momentum even in the midst of these unprecedented times. During the quarter, we recorded our highest level of annual recurring revenue of our platform's business due to another strong period of new customer wins and existing quiet up sells. We also continued to experience customer account growth across both our platform and transaction. This is a testament to our sales, marketing and customer happiness teams working tirelessly to ensure our customers are getting the best possible service and utilizing all of our capabilities, which could make their R&D task easier and more efficient especially during these unique times. We also received approvals for our up listing to NASDAQ and began trading on the exchange in late March. We believe the listing will help increase long-term shareholder value by improving liquidity and market awareness, including the expansion of our investor base to more institutional investors. Most importantly, however, is our organizations commitment to helping in the struggle against the COVID-19 pandemic. While we can't create a magic will acquire, we are making contributions to the research communities global effort. In fact, we have introduced specific tools to further assist our clients in researching the pandemic, including the launch of the COVID-19 Research Viewer Gadget and providing copyright write pre-articles pertaining to the virus when applicable. I will have more to say on both momentarily. Beyond the value of our tailored content, we provide our clients and efficient resource for all medical and scientific research in both times of economic uncertainty, and work from home mandates. Our SaaS-based article Galaxy platform can help organizations save time and money while providing access to all the research they need remotely. With this all in one Research Solution, organizations can enjoy full text content at the point of discovery, while filtering for lowest cost acquisition, as well as one-click access to scientific papers and lab productivity tools, all in one highly efficient workflow. As recently stated in our corporate update press release earlier in April, our company is incredibly well positioned strategically, operationally and financially to weather any effects of the COVID-19 pandemic may have on our business. We have already been operating as a virtual company well before this global virus, which has helped to keep our employees safe while operating without interruption during stay at home mandates implemented around the world. As a result, we have not had a single incidence of COVID-19 amongst our staff. The necessary systems, tools, security, processes and procedures are already built into our operating model. So there has been virtually zero internal disruptions. And we are also a valuable resource for our customers and suppliers, who may need some advice on how to operate most effectively in such an environment. I would give greater detail on the various initiatives we are implementing to make our platform business even more valuable to the scientific and medical community during these unprecedented times, which will also serve this business well over the long term. But first, I'd like to pass it over to Alan to walk through our fiscal third quarter 2020 financial results, Alan.
Alan Urban: Thank you, Peter, and good afternoon, everyone. Jumping right into our fiscal Q3 results. Our platform subscription revenue increased 36% to $1 million driven by a 33% year-over-year increase in total platform deployments from 281 to 374, which translates into 93 net incremental deployments in the trailing 12 months and 36 in Q3. The quarter ended with 4.1 million in annual recurring revenue up 12% sequentially, and 39% year-over-year, reflecting the benefits of consistent up selling and low churn of current platform customers. Please see today's press release for how we define and use annual recurring revenue and other non-GAAP terms. Our transaction revenue increased 6% to 7 million, compared to 6.6 million in the same year ago quarter. Transaction count increased from approximately 212,000 to 228,000. And total active customer count grew from 1078 to 1115. Within the total active customer account the number of corporate customers was up 1% to 845 while academic customers were up 11% to 270. Together, these businesses delivered consolidated revenue of 8 million an increase of 9% compared to 7.4 million in the same year ago quarter. Moving on to gross margin, our platform business saw gross margin increase by 50 basis points to 82.5% compared to the same year ago quarter. We continue to see benefits from proportional decreases in third-party data cost. As a reminder, our expanding scale provides leverage to become more cost effective with our third-party providers, which has allowed us to consistently meet the high-end of our target gross margin range of high 70% to low 80%. Gross Margin in our transaction business increased 60 basis points to 24.2% primarily driven by lower copyright and personnel costs. As a result consolidated gross margin increased 210 basis points to 31.6% compared to the same year ago quarter. The increase was primarily driven by a continued revenue mix shift to a higher margin platform business, which we anticipate will continue improving as our platform business becomes a higher percentage of revenue. Our total operating expenses were 2.6 million, compared to 2.4 million in the same year ago quarter. The increase was primarily due to greater personnel costs, as well as fees associated with our NASDAQ up listing. Net income from continuing operations increased to $12,000 or nil per share, compared to a net loss of $0.2 million or nil per share in the year ago quarter. Adjusted EBITDA increased to 145,000 compared to negative 30,000 in the year ago quarter. Moving on to our balance sheet, cash and cash equivalents at March 31 2020, increased to 8.2 million versus 5.4 million at June 30, 2019. The increase in cash was primarily the result from proceeds from the exercise of 1.5 million warrants during the quarter. There were no outstanding borrowings under our $2.5 million revolving line of credit and we have no long-term debt or liabilities. This is the strongest of our balance sheet has ever been with the highest cash balance in our company's history, providing further confidence in our ability to appropriately navigate these difficult times. But that being said, we remain vigilant and we'll be able to react quickly to changes in this unprecedented environment. This completes our financial summary. I'll now turn the call back to Peter. Peter?
Peter Derycz: Thanks, Alan. First, I'd like to highlight a groundbreaking new partnership that we entered into with Springer Nature; the peak went to the end of the quarter. Through this partnership, we're launching Article Galaxy Plus, which grants our customers access to 35% of the world's scientific literature, preloaded on the platform at no additional cost. With this new offering, our customers will gain immediate access to all Springer Nature research journals and book chapters, along with seamless access to 20 million open access articles. Article Galaxy Plus takes the best of Article Galaxy, the best of Springer Nature content, as well as open access literature and puts it all in one neat package providing a powerful boost to the information toolkit of any research organization. Historically, only the largest R&D organizations and universities were able to afford subscriptions to a large collection of high impact journal content, let alone have the required staff to organize and manage an internal library. With this partnership, we're bringing the same big company capabilities to SMB enterprises, which represents a significant democratization of a key part of the world scientific literature. There's no more need to quietly borrow friends ever changing passwords that universities or worry about the legality of accepting articles from dubious or even illegal sources to access Springer Nature robust content library. Additionally, all of this access will be fully integrated with Article Galaxy's corporate friendly work flow environment, along with being available directly on Springer Nature's web properties. We are incredibly excited about this initiative and truly believe it will be a game changer for our current clients, along with providing another attractive value proposition when pitching to our prospective customers. You may have also seen, we recently announced the addition of the Article Galaxy research platform of Microsoft Azure marketplace, simplifying single sign-on, or SSO setup via preintegration with Zero Active Directory. Through centralized user account management, administrators can automatically add or remove user access to applications for entire department. Rather than signing into each application separately, users only need to find on one stack of all applications for which they've been provisioned access. This now provides our customers a fast simplified way to access Article Galaxy with the convenience of a zero SSO. While, we've always offered customized solutions to configure and integrate with Azure. The pre integration makes the process much more efficient. Customers can simply download the Article Galaxy app from the Azure marketplace and send us the configuration details, allowing us to secure authentication to a customer's work flow within a matter of minutes. We are always looking for ways to streamline and simplify the research process for our clients. And this is another step forward in further providing seamless access to our robust library of content and workflow tools within our Article Galaxy platform. Now, switching gears to what we are seeing in the COVID 19 environment. As I mentioned earlier, we are well positioned to weather this pandemic. Today, we have not experienced any disruption to our business or lost a client due to the virus. If anything, we are seeing R&D efforts across the life sciences industry expanding especially as several of our customers are directly involved in the fight to find a cure. Additionally, we have continued our product development without missing a beat. Article Galaxy is becoming more robust as our customers needs to evolve as new clients join our Research Efficiency Movement. As I mentioned in my opening remarks, we are making contributions to the research communities global efforts. We have introduced civic tools like the COVID-19 Research viewer gadget, and they're also providing copyright free articles pertaining to the virus. The COVID-19 Research Viewer Gadget provides an up to date listing of COVID-19 scientific literature across all publishers, most of which have committed to removing paywalls from COVID-19 articles. This was built using PubMed as a data source, and displays thousands of COVID-19 journal articles at a glance. The tool also displays the top research articles based on Article Galaxy usage activity. The curated list of links to publishers and other COVID-19 information resources and an interactive map that shows the current number of confirmed cases and mortality statistics across the globe. In addition, the gadget is available free of charge to customers regardless of subscription level, since the initial launch of this gadget, we are continuing to make further enhancements, and have received very positive feedback. We also implemented a new billing policy for copyright free COVID-19 articles. Even most publishers are removing paywall, and in some cases, retro actively on peer reviewed articles related to the COVID-19 pandemic. The distribution of metadata for these articles can't always keep up with these changes as quickly. There will likely be cases where our customers order articles that should be free of any copyright charge, but were not initially delivered for free or may have shown a price at the time they were ordered. To ensure customers do not pay for any articles for which paywalls have been removed. Our team has been diligently running a monthly analysis of our billing data and removing any copyright charges for papers that publishers have made available for free. In cases where a customer believes they were mistakenly charged for to COVID-19 articles, you're also offering an open refund policy. Our organization remains committed to providing the most up to date and helpful resources. And we will consistently evaluate ways in which we can make the research process as relevant and seamless as possible, especially during these unique circumstances. Going forward, we have the utmost confidence in our ability to continue meeting our customers evolving needs in this current market environment. In fact, our momentum is continuing in our fourth fiscal quarter as we experienced another strong month in April. Although there's currently nothing on the horizon that we believe could potentially impact this momentum. We remain vigilant and our team is closely monitoring this dynamic environment. We are cautiously optimistic about the demand trends moving forward and remain well positioned with the highest cash balance in our company's history, zero debt and full access to a line of credit all of which further supports our strong outlook. With that, I'd now like to turn the call back over to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Peter Rabover of Artko Capital. Please go ahead.
Peter Rabover: Hey guys, congratulations on the funding another good quarter and really pleased to hear the confident tone for the future outlook. So I guess my first question is, you have these partnerships -- two new partnerships with Springer and Evidence Partners. And so maybe an update on the Evidence Partners partnership, and then, is there kind of a triangle almost. But is there a way to leverage the Evidence Partners with the Springer partners partnership or how would that all work?
Peter Derycz: Yes. So we announced that partnership with Evidence Partners we're very similar companies. And, it's really going well, in May, this month we are launching the technical integration with them. So there'll be using some of our API's and other ability to connect to our platform and actually start inserting, get article buttons and things like that into their platform which connect directly to Article Galaxy. So that's really great to see the technical integration moving forward. The customers that want to use the integration basically have to be customers of both Evidence Partners Distiller product and these are solutions Article Galaxy product. So it's you really have to be a customer of both to use it. So we're looking at where one of the up sell opportunities are, their existing joint customers as well as where new opportunities are with customers that may be using one product but not the other and selling to them. With regard to Springer, sorry, just to get into the Springer Nature partnership. Springer Nature launch with this new version of Article Galaxy called Article Galaxy Plus. It's designed to -- it really is Article Galaxy, but just designed to have Springer Nature content sort of pre-included in that. The one limitation for it is that it's really designed for our sweet spot customer which are small and medium-sized businesses. So if you're an SMB user of Article Galaxy Plus and a customer as well of Evidence Partners Distiller, then it all will work seamlessly together.
Peter Rabover: Okay. Are the economics of Article Galaxy Plus same or should we expect a little different things to show up through the P&L, if there's like revenue sharing or cost sharing or how should we think about that going forward?
Peter Derycz: Yes. The way we modeled it is that we designed the pricing around Article Galaxy Plus to provide a net boost. So we're not sacrificing anything going that direction. We're actually -- it's a premium edition of Article Galaxy and so as a result pricing is different.
Peter Rabover: Are they and Evidence, are they cross selling your product? Have you had any revenues or customer signup yet through either one of the three -- the one of the partnerships?
Peter Derycz: That's early stage. Yes, there's definitely customers that are waiting in the queue here for the integration. And so that's coming out this month. So it will be in the next couple of weeks that'll happen. So there's definitely interest. We also recently had a joint webinar with Evidence Partners. And it's been -- it was the most successful webinar we've ever had. So we had hundreds of people really sign up for it, and not all of them attended, but I think it had been 250 to 300 attended and that's the highest attendance webinar like that we've ever had. So we think we're feeling good about partnership. We think it's good for their customers and good for our customers. And then, if you're a joint customer, then I think it's really a great solution.
Peter Rabover: Okay. I guess now that you're kind of launching into the new, hopefully a more sustainable higher growth phase. Do you think you have enough SG&A capability, I guess, to support that growth? Or do you anticipate more SG&A investment in the near future?
Peter Derycz: I think we've got enough. I think there may be some shifting around of that and how we want to deploy focusing on different aspects of what we do. Primarily, sales, marketing, product development -- product management. So, there will some moving around the resources that we're looking to stay very similar.
Peter Rabover: Okay. And then, maybe it's a little too early to ask this question. But, I'd be curious and now you're a NASDAQ company and you do have a growing cash balance, but what are you guys thought about capital allocation and how do you -- what are you thinking about doing with -- as you're more cash flow positive company.
Peter Derycz: Yes. We had to have a bigger balance sheet to qualify to meet some of the criteria for NASDAQ. So that warrant exercise that occurred was really helpful in that regard. And as result, yes, we were sitting on cash and it seems like we're generating more or entering the phase or we're starting to generate more. So there are two things that were really sort of keeping an eye open for one is, yes, we want to be able to make sure that we are in the strongest position possible to weather any kind of storm that could come our way. Yes, we talked about all the great things that are going on in the company, but we are also vigilant. We don't see any bad news on the horizon for us and for our customer base. We believe the world is in the science now, and we're firmly positioned in there. But we are vigilant. So we do you want to make sure that our customers, our prospects, our suppliers, our staff really feel comfortable that with all the uncertainty on the marketplace, that we're rock solid. And so that's one of the things that like that, that improved balance sheets are really useful for. The other thing is, we're also opportunistic, right? So, we are making a lot of improvements to the product, Article Galaxy Plus, partnerships with like Springer Nature, there are other partnerships we're working on. And so we're also being very optimistic. And so we really want to make sure that if there's a hockey stick moment for us to really jump on something that we have the dry powder to do so. So those are the two main, I think benefits of having that increased and probably growing balance sheet.
Peter Rabover: Okay. Yes, I guess last question. Just maybe touching in your hockey stick comment. Is there kind of at a point where you guys thought about where like you'll be much more mainstream and recognized and to go from have you heard of Article galaxy to how you don't have article -- why don't you have Article Galaxy kind of industry wise and what is there kind of an uptick in your social media mentions? I don't know think of both the PR and marketing nature, what you guys think, you fit into the industry now and et cetera?
Peter Derycz: So I think from my vantage point, though, when you look at it globally, we're still tiny and we'd love to be the Bloomberg of science. We've said that many times -- electric [medical] [ph] science and we're working constantly building towards that. But if you looked at really on a global scale compare us to somebody like Springer Nature, they're a multi-billion dollar company -- multi million dollar company and so I think part of the strategy I think, with partnerships, whether with smaller companies or much larger companies is to really expand our presence, right? And that brand awareness and the fact that hey, once you know about us then know what we do that becomes an obvious choice that way, hey, why aren't we using this. But I think the company, from very broad perspective is still in very early stages from that regard. And, but there will be a moment where you're in the life sciences industry, I believe that if you're not using our platform, you can feel like you're behind your competitors. And not upgrading your R&D as efficiently as you should be. But still early days, I think.
Peter Rabover: Okay, great. Well, hey, thank you so much for your time. I really appreciate you taking time to answer all my questions. So I'll let somebody else jump anytime. Thanks.
Peter Derycz: All right. Thank you.
Operator: Thank you. [Operator Instructions] At this time, this concludes our question-and-answer session. Before we conclude today's call, I would like to provide Research Solutions Safe Harbor statements that include important causations regarding forward-looking statements made during today's call, as well as statements regarding the company's use of non-GAAP financial information. Statements made by management during today's call contain forward-looking statements that include information relating to future events, and future financial and operating performance. Examples of such forward-looking statements in this presentation include, but are not limited to statements regarding the expected continued improvement and market acceptance of the company's products and services and the expected continued growth in transaction and platform deployments and revenue. That the company will be successful in executing its sales and marketing strategy that the company will maintain and continue to develop its proprietary software and that the company will face few barriers in terms of achieving greater global expansion in revenue growth. Such forward-looking statements should not be interpreted as guarantee of future performance or results and will not necessarily be accurate indications of the times at or by which the performance are those results will be achieved. The forward-looking statements were based on information available at this time. They are made and our management's good faith belief that at the time with respect to future events, and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed and/or suggested by the forward-looking statements. Important factors that could cause differences include but are not limited to changes in economic conditions, general competitive factors, acceptance of company's products in the market, the company's success in obtaining new customers and new platform deployments. The company's success in technology and product development, the company's ability to execute its business model and strategic plans, and all the risks and related information described from time to time in the company's filings with the SEC. That is the Securities and Exchange Commission, including the financial statements and related information contained in the company's annual report on Form 10-K, and interim quarterly report on Form 10-Q. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether because of new information, future events or otherwise. The company also assumes no obligation to update the cautionary information provided in the presentation. Today's presentation also included financial measures, defined as non -GAAP financial measures by the SEC. The presentation of this financial information is not intended to be considered in isolation, or a substitute for the financial information prepared or presented in accordance with the generally accepted accounting principles accepted in the U.S. otherwise referred to as GAAP. Please refer to more detailed discussion about the company's use of non-GAAP measures and their reconciliation to the nearest GAAP measures in today's earnings press release. Finally, I would like to remind everyone that a recording of today's call will be available for replay after 8 PM Eastern Time and through June 4, 2020. Please refer to today's press release for dial-in instructions. Thank you for joining us for the presentation. You may now disconnect.